Operator: Good day, and thank you for standing by. Welcome to the MakeMyTrip Limited Fiscal 2021 Fourth Quarter and Full Year Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jonathan Huang, Vice President of Investor Relations at MakeMyTrip. Please go ahead.
Jonathan Huang: Thanks, Catherine. Welcome, everybody, to MakeMyTrip Limited's Fiscal 2021 Fourth Quarter and Full Year Earnings call. I'd like to remind everyone that certain statements made on today's call are considered forward-looking statements within the meaning of the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance, are subject to inherent uncertainties and actual results may differ materially. Any forward-looking information relayed on this call speaks only as of this date. The company undertakes no obligations to update information to reflect changed circumstances. Additional information concerning these statements are contained in the Risk Factors and Forward-Looking Statements section in the company's annual report on Form 20-F filed with the SEC on August 17, 2020. Copies of these filings are available from the SEC or from the company's Investor Relations department. I'm joined today by Deep Kalra, our company's Founder and Group Executive Chairman; Rajesh Magow, Co-Founder and Group Chief Executive Officer; and Mohit Kabra, Group Chief Financial Officer. Now let me turn the call over to Deep to begin our call today.
Deep Kalra: Thank you, Jon. Welcome, everyone, to our fiscal fourth quarter and full year earnings call. I sincerely hope all our listeners are staying safe and healthy, especially those residing in India today. Since our last earnings call in late January, the pandemic situation in India went from cautiously hopeful to catastrophic in a very short period of time, resulting in the rise of the second wave of new infections beginning in late March. Sadly, the second wave impacted a lot more people in the country, including many of our colleagues and their loved ones than the first COVID wave in March 2020. In these times of crisis, the company, through the MakeMyTrip Foundation, moved very rapidly to provide support wherever possible. As just one of many examples, our team worked tirelessly to secure staff medical facilities for our afflicted employees and their loved ones. We had also secured vaccine access for employees and their families and created around-the-clock COVID task force to help them find medical support and assistance when needed. The leadership within the company, through health care experts, have constantly engaged with employees to assess their mental well-being and offer positive vibes to boost morale during these highly challenging times. In addition, the foundation procured oxygen concentrators and ventilators to donate to nearby hospitals and other welfare associations to help the local community and dedicated resources to help local government agencies with relief work where necessary. Recently, we also launched CoviRide, an open peer-to-peer community platform to help individuals and organizations seek and provide transport-related assistance. The program is aimed to help provide emergency commutes, ambulance services for COVID-19, rides to vaccination or oxygen centers to and from the hospital and for medical equipment and medicines transfer. As the country and the company continues to endure through the current realities of pandemic life and the resulting state of business, we are proud of the highly resilient culture that we built as an organization. I'm even more proud and grateful for our employees' generous efforts and dedication during this challenging period of our lives. We all look forward towards the end of the pandemic, which can be accelerated with more vaccinations in the coming quarters. Recent forecast by a leading global investment house predicts that 60% of the country could be fully vaccinated by the end of this calendar year as more domestic and imported vaccines become available in the coming months. More encouragingly, I'm hopeful that we may have seen a peak of new daily infections forming sometime in early May as various state-level restrictions and lockdowns has helped reduce the number of daily infections. In the meantime, I implore everyone to take great care and be safe. I'm highly confident that this crisis will pass in due course and that our company will emerge far stronger than in the recent past as the industry inevitably recovers with the help of pent-up travel demand and the human need to connect in person with others. What inspires this confidence is that we have witnessed a very strong recovery and logged market share gains in the quarters immediately following the end of last year's nationwide lockdown. Furthermore, as a company, we are financially better placed today than before the pandemic hit last year. As shared in the previous calls, we implemented multiple fixed cost structural rationalizations last summer and developed a solid playbook on how to leverage variable costs as needed. In addition, the opportunistic convertible note issuance in early February of 2021 had significantly strengthened our financial position, allowing us to weather through this current volatility even better than before. The fund raise at attractive terms also demonstrated the investment market's confidence in the company's long-term growth story. Further fueling my confidence is the rapid e-commerce adoption driven by the pandemic across India. Recent data indicates that more than 250 million people engage with an e-commerce platform in India, up from roughly 110 million users pre-pandemic, and that number is expected to grow to at least 300 million by 2025, according to a recent Bain & Company forecast. Once it's safe to travel, I firmly believe that the MakeMyTrip group will be a key beneficiary of this rapid and permanent online buying behavior. Now I'd like to ask Rajesh to share some more color on the fiscal fourth quarter.
Rajesh Magow: Thank you, Deep. I hope everyone listening in today is staying healthy and safe during these tough times. On our last earnings call, based on the trends seen in January, we were quite hopeful of a continued pace of travel recovery, which we saw throughout most of February. However, by March, as COVID infections began to rise, sentiment and demand for travel began to moderate. While the current pandemic-related disruptions remain in effect and is likely to persist for some more time, I am hopeful and optimistic that this crisis will be behind us in due course as state-level restrictions, lockdowns and the gradual ramp in vaccination will be effective in controlling the second wave. In the meantime, we fall back on the playbook that we developed during the first wave to focus on user experience improvement projects on our platforms as well as keeping costs under control to navigate through the second wave. As you can see, our Q4 financial performance was quite encouraging, where travel recovery momentum quarter-on-quarter continued across travel categories. The highlights of the quarter were the recovery of all key segments on combined basis, recorded of over 70% relative to the same quarter a year ago as well as significant improvement in adjusted operating profit, both quarter and on -- both quarter-on-quarter and year-on-year. Mohit will share full details in his section in a bit. Despite the pandemic effect, the scale of our company continued to increase and reached 51 million live to date customers in Q4 of fiscal year '21. At the same time, new user contribution to our brands also increased by 200 basis points since February of last year to represent 22% of the total this March. While we have been able to capture new users, our repeat rates have also remained consistently high, reaching 70% in Q4. Helping to drive this retention is also the fact that more than 2/3 of our traffic comes directly onto the platform. Now I would like to share some of the achievements made with our various businesses starting with our accommodation businesses, where we recovered more than 70% of the room nights when compared to the same quarter a year ago. During Q4, we continued to see more hotels reopen as 75% of the room inventory on our network were ready and able to take bookings at the end of the quarter. Continuing demand for short-duration getaways in the premium category hotels and pricing trends from past quarters allowed us to grow our contribution to exceed pre-pandemic levels for our premium category partners. Similarly, demand for alternative accommodations remains strong, even as hotel demand gained ground in Q4, as more than 63% of these types of socially distant possible properties were open for bookings during the quarter. While our team focused on business recovery, we also continued to make the right long-term investments back into the business. For example, we introduced a new room type shopping experience, easily allowing customers to compare between different amenities and room rates. The better content also showcase room types more effectively, helping drive sales of higher room categories as the value proposition became more apparent to shoppers. While much focus was placed on customers, we also combined the supply management functionalities onto 1 common platform across all brands. This will allow us to onboard and manage supply from all partner sources seamlessly. We integrated our supply pricing engine across all our brands, making the system react and respond faster to customer searches. Lastly, for our alternative accommodation users, our previously announced pre-booking chat function continued to gain popularity. This feature allows potential guests to get clarifications and inputs from hosts and increases the confidence of booking alternative accommodations. Now let me share the pace of recovery that we witnessed during Q4 within our air ticketing business. Before the second wave hit us in late March, air capacity recovery within the domestic market reached nearly 73% on average for the quarter versus pre-pandemic. During the quarter, our domestic passenger segments booked had recovered to nearly 84% of the levels achieved a year ago, while outbound air ticketing recovery remains muted due to the closed borders. This continued recovery momentum allowed us to maintain industry-leading market share within the domestic market, which had been improving incrementally since the pandemic began a year ago. Recovery was led by consumer's pent-up demand post the lockdowns and COVID restrictions for leisure destinations with destinations like Goa and Dehradun seeing recovery in excess of 100% during most of the quarter. Just like the quarter before, business-focused destinations like Delhi, Mumbai and Bangalore continued to lag leisure travel with recovery rates in the mid 60%. During Q4, our flight team continued to deliver relevant products to bookers including price lock to give bookers an option to hold a good fare for a nominal fee. We revamped our multi-city search and booking experience, enabling users to pick and choose from optimized combination of flights, reducing time and effort needed to create and book a trip. We reduced load times further to speed up our mobile web experience, leading to a 20% increase in conversion rates via this channel. Now let me move on to share an update on our bus ticketing business, which has seen seat inventory recover in the private bus operator market in excess of 90% of pre-COVID days. This improvement in supply has enabled us to recover nearly 70% of bus ticketing seats sold when compared to Q4 a year ago. Furthermore, state road transport corporations, or SRTCs, have also greatly increased seat inventory on our distribution platform as part of their ongoing efforts to push digitization and contactless ticketing. In fact, SRTC inventory available for distribution is now 35% greater than pre-pandemic days, giving a sizable long-term headroom for growth as this bus segment is still largely underpenetrated online. During Q4, we also saw a favorable regulatory change by the Union government, lowering licensing or permit charges for the interstate bus operators which should lower prices for travelers and set the stage for longer and near bus routes to emerge going forward. In addition, as availability of all modes of transport had been affected due to the pandemic, we had seen a travel shift towards buses. As a result, we have partnered with IRCTC, or Indian Railways, to power their bus ticketing platform. In Q4, we also launched Primo, an invite-only program open only to highly rated bus services on redBus. Travelers can now book from this collection of bus service to enjoy the best possible onboard experience for the journey. The program provides operators constant feedback via data mining of customer ratings and reviews, helping to improve their operations, quality and occupancy rates. As a team, we continue be to very optimistic of this business segment's long-term growth prospects. Now I would like to share a quick update on our other ground transport business, which includes cabs and train ticketing. This ground-focused business was launched during the beginning of 2019 and continued to see solid traction, predominantly from the hinterlands of India. Furthermore, this segment also helped to capture nearly 24% of all new users onto our platform. To improve the booking experience for intercity travel on cab, we launched features to pick a specific car model, fuel type, luggage accommodations and safety. Similarly, on rail ticketing, we also rolled out free cancelations for all our rail users, which has yielded significant traction with the masses of rail users. We also launched vernacular SEO content to generate more organic growth beyond the English-speaking population residing in the colloquial Bharat. As the revival of leisure travel continued for much of Q4, we were also pleased to see a revival of our domestic corporate travel business. In fact, certain sectors like pharma, e-learning and construction had already reached over 80% of pre-COVID business travel levels. As a result, our corporate platforms of myBiz and Q2T have seen healthy recoveries of 60% and 44% when compared to the same quarter last year, partly supported by new accounts acquisition. In Q4, myBiz acquired more than 250 new key accounts and 750 more SMEs. These new accounts in the quarter also accounted for nearly 1/5 of MyBusiness revenue, highlighting the demand for a self-serve online corporate travel platform like ours. As for our enterprise-grade solution, Q2T, our team onboarded 11 new large well-recognized corporates onto the platform. In addition to our corporate endeavors, I'm also pleased to report that our platform for off-line travel agents called myPartner has continued to move forward, designed as a way to expand our reach to the off-line world in an asset-light and scalable way. We now have more than 11,000 partners on the platform with more than 1/3 actively selling. While initially launched with just our hotel products, we have now added domestic and international flights also on our platform. While it's early days, we believe this program will help us further broaden our reach going forward. Lastly, I would like to share an update on our efforts in the GCC or Middle East market, where we continue to focus on improving the user experience. We are now fully live with the Arabic language for our flights and hotel products on both desktop and mobile web. The multilingual content has helped us build vernacular SEO pages and acquire more Arabic-speaking travelers. Soon, we plan on expanding our Arabic offerings to our mobile apps and other channels. Our app downloads and new users are increasing gradually in the region. We believe our investment in this region today will help us capitalize the demand pickup as the market picks up post COVID. As you can see, MakeMyTrip has positioned itself well, both in brand and product selection and offerings before and during the pandemic as we continue to build out the country's super app of the travel. We believe, given our strong financial position, we will certainly lead the way in the recovery once we get past the current pandemic wave and deliver long-term financial value to our stakeholders. Lastly, with India's daily case infections reducing off its peak in early May and going by the experts' estimates, the second wave's intensity will continue to come down gradually from now onwards. And as that happens, travel recovery will resume gradually as well as we entered into fiscal Q2 of this year. Recently, ICRA, a local credit rating agency, anticipates that domestic air travel could return to pre-COVID levels by fiscal year 2023, predicated on mass vaccinations by year-end that would blunt any impact from a third wave of infections. This prediction is aligned with our views that recovery momentum will pick up only as domestic vaccination progress and daily recorded cases trend lower to a more manageable level in the country. With that, I would like to hand over the call to Mohit to share more color on our financial results in Q4.
Mohit Kabra: Thanks, Rajesh, and I hope all our listeners are staying safe and healthy. As we have previously shared, due to the ongoing pandemic, our financial focus as a company has been and continues to be optimizing our operating costs while trying to maintain minimal quarterly cash burn throughout this entire fiscal year. We plan to remain on this course until we reach full domestic travel recovery despite the near-term challenges of the second wave. Our relentless and disciplined cost optimization, coupled with the recovery in the domestic travel demand seen for most part of the reported quarter, helped us deliver operating profits of $11.1 million during Q4, which was ahead of our own expectations. This is more than double the adjusted operating profit of the previous quarter, demonstrating the high operating leverage potential as a result of our rationalized cost structure. In Q4, overall business recovery compared to the same quarter last year, which was also a quarter where the pandemic had started to take its toll on the travel business, was about 64% in terms of gross bookings in constant currency terms, reaching nearly $760 million. For the full year, gross bookings reported were over $1.6 billion or about 28.1% of the bookings achieved in the prior fiscal year of 2020 as the nationwide lockdowns and the ongoing pandemic has severally impacted travel demand across India for most part of fiscal year 2021. Moving on to our business segments. Air ticketing adjusted margin stood at $38.2 million, representing a recovery of 81.5% in constant currency terms when compared to the same quarter a year ago, and over 47% quarter-on-quarter improvement over Q3. For the full fiscal year, adjusted margin for the air ticketing business was $80.2 million or nearly 34% of the levels achieved in fiscal year 2020 in constant currency terms. The adjusted margin in our hotels and packages business stood at $35.6 million in Q4, which is about 55.6% recovery in constant currency terms versus the same quarter a year ago. This was also a continued improvement of 42% on a quarter-on-quarter basis. The adjusted margin as a percentage of gross bookings for this segment has remained stable over the last few quarters, but has been lower on a year-on-year basis due to the higher mix of branded and premium hotel bookings that has been leading the travel recovery so far. For the full fiscal year, our hotels and packages adjusted margin was $67.5 million or roughly 20% of fiscal year 2020 in constant currency terms. As for our bus ticketing business, the adjusted margin stood at nearly $11 million and represented nearly 67% year-on-year recovery in constant currency terms and was up nearly 22% over the previous quarter. Similar to our hotels business, reported adjusted margins as a percentage of gross bookings have remained steady during the year as we see more inventory of seats being available to our platform from operators, pushing for digitization of distribution and operations during the pandemic recovery. For the full fiscal year, our bus ticketing adjusted margin stood at $22.9 million or roughly 32% of the fiscal year '20 in constant currency terms. Lastly, the adjusted margin in our other businesses was $5.2 million, representing a year-on-year recovery of about 74% in constant currency terms and an increase of 26% over the previous quarter. For the full fiscal year, our other adjusted margin was $13.6 million or roughly 37% of the adjusted margin for other businesses during fiscal year 2020 in constant currency terms. Let me now share some details around operating costs and profitability during the reported quarter, where we continued to sharply focus on fixed cost discipline, optimizing marketing efforts and improving unit economics across our lines of businesses. Let me begin by addressing our variable expenses where -- which largely comprises of marketing and sales promotional expenses. As in the previous quarters, we made significant year-on-year improvement, and these expenses stood at 4.8% of gross bookings compared to 7.2% of gross bookings in the same quarter last year. On a quarter-on-quarter basis, these expenses as a percentage of bookings did increase a bit, but this was in line with the improved travel demand we witnessed during most part of the reported quarter. As for future expenses, our adjusted personnel and SG expenses came in at about $33.3 million compared to about $45 million in the same quarter last year as a result of multiple cost efficiency initiatives undertaken by us during the course of this year. For the full year, our adjusted personnel and SG expenses were lower by about 41% compared to the last full fiscal year, reflecting the full impact of our fixed cost restructuring efforts during this pandemic impacted year. As a result of our cost discipline, efficiency gains and strong recovery momentum in most parts of the reported quarter, we achieved adjusted operating profit of $11.1 million, an improvement of over $21 million year-on-year and nearly an improvement of $6 million over the previous quarter. And the adjusted operating profit margin spans at about 12.3%. Adjusted further for other noncash depreciation and amortization expenses, the quarter's adjusted operating cash profit stood at about $15.3 million compared to a loss of $5.5 million in the same quarter a year ago, and up from a profit of about $9.5 million in the previous quarter. We are glad to report that despite the severe impact of the pandemic, for the fiscal year 2021, we were able to achieve adjusted operating cash breakeven. The full year adjusted operating cash profit stood at nearly $1 million compared to an adjusted operating cash loss of about $51 million in the previous year. In early February, we opportunistically issued zero coupon convertible senior notes of $230 million with a net cash of $224 million after factoring in transaction expenses. As a result of the notes issuance and positive quarterly adjusted operating cash flow of $15.3 million, our liquidity as at the end of 31st March stood at nearly $450 million in terms of cash and cash equivalents. Additionally, we have credit and guarantee facilities of roughly $100 million, and all of the credit facilities remain undrawn. Before I hand over the call to the operator for questions, I'd like to offer some color on the general trends that we have been seeing to date during the new fiscal year in Q1. As you have seen in the last 3 reported quarters, since the ending of the nationwide lockdown last June, we have been able to achieve good recovery on a quarter-on-quarter basis across our all lines of businesses. However, given the timing and scale of the second wave, as we enter this new fiscal year, we are once again faced with travel demand being significantly impacted by the viral surge. Though there are no nationwide travel restrictions, many state-level restrictions as well as health and safety concerns have muted the demand for travel services during this ongoing quarter. While the scenario is beyond our control, we will continue to lean on our playbook of tight cost controls from last summer and aim to maintain minimal cash bond, particularly during the highly impacted first quarter of new fiscal year, while keenly watching the daily infection trends coming down to levels where business recovery can resume again. With that, I'd like to turn the call over to the operator for Q&A. Operator, please.
Operator: [Operator Instructions] We have a question from Ashwin Mehta with AMBIT Capital.
Ashwin Mehta: Just 1 question, Mohit. This quarter, you had the air ticketing take rates improve substantially to around 8.9%. So what were the drivers of this? And do you think, at least, in the period where airlines have to push inventory, there can be possibly an elevation here given that you indicated there are incentives which are driving this uptick?
Mohit Kabra: You're absolutely right. And considering that the airlines are operating at low load factors, they're clearly incentivized in terms of driving demand. And considering that we have seen large volume providers over the years, there has been incentivization coming in from the airlines to perk up demand on multiple sectors. And that is what is helping us optically kind of drive up the gross margins on the air ticketing business. Again, this is kind of completely linked to the load factors, which are currently low. And like we have been mentioning as the load factors stabilize, with gradual recovery in travel demand, we believe the airline margins will kind of come back to the 6% to 7% levels.
Ashwin Mehta: And is this largely being given to, say, MakeMyTrip because of their dominance? Or this is across the industry wherein OTAs would have benefited because of this phenomena?
Mohit Kabra: I would guess this would kind of be a bit of both. Go ahead Rajesh.
Rajesh Magow: Go ahead, go ahead Mohit.
Mohit Kabra: Yes. No, Ashwin, I was saying, this is probably a bit of both. Clearly -- probably see the incentivization kind of working much better, with much better kind of volume linkage coming through on platforms like MakeMyTrip and ibibo. And therefore, we believe this would probably be slightly better than what is being made available to the rest of the industry.
Ashwin Mehta : And just 1 question in terms of -- you mentioned that you've seen a 35% increase in terms of the SRTC inventory on your platform. So SRTC would be -- like we've disclosed in the past that we have around 1.5 million plus seats in bus ticketing tied up. So SRTC would be how big in terms of overall inventory on our platform?
Rajesh Magow: Yes. Happy to take that, Ashwin. The overall size of the SRTC market, by the way, is as large as the private operator bus market as well. So the difference was, and which is what we're trying to highlight the benefit that has happened during the pandemic, the difference was that the private operators were coming online or had already come online in a big way and sort of becoming more tech-savvy or -- and we've been also getting -- helping them with the tools, et cetera, to get their inventory online. The state transport undertakings were taking time and for various reasons. So not necessarily all of them were absolutely up to speed in terms of just bringing the entire inventory that they had on the online platform. So what happened during the pandemic, with the last over several quarters now, I mean just over a year as the COVID onset happened last March, that the off-line distribution sort of dried up, and then there was a clear desire and a lot of efforts were put in to bring that inventory online. So as a result of that, what inventory levels we used to have it on our platform earlier went up by 33%, as compared to what we used to have at pre-COVID level. But in terms of just seats, it is pretty much the -- or the value terms, it is the same size as the private operator bus market as well.
Ashwin Mehta: And just 1 last question. So we've around 51 million life till date transacting users. Now what you mentioned was that cab booking and train booking is helping you expand to the vernacular Bharat. So is there a divergence in terms of, say, -- or the overlap is much lower between, say, hotels and air ticketing users versus bus ticketing, cab and others? And does that, at some point in time, help you in terms of graduating the number of users, which are currently, say, around 50 million 51 million?
Deep Kalra: Yes, you’re right, Ashwin, there is – that’s really the objective cure. I mean when we were trying to push the rail transactions or for that matter, intercity cab, between the two, intercity cab might have a relatively speaking more overlap than rail users and that too the rail users of specifically bookings, second class bookings and not necessarily the first-class or the air conditioning seats or the customers who are using those sort of reservations. And therefore, that we are seeing the benefit upon our platform that these initiatives are helping us getting new users because if you really see the overall e-commerce users are more than maybe about 150 million today, but the overall travel e-commerce users might be about 70 million plus/minus. The idea is to basically expand the new users coming on our platform, and this will certainly help it. Definitely, we’ve seen a not necessarily less overlap, but also the fact that there has been a decent amount of cross-sell happening to the other products over time as well.
Operator: Our next question comes from Gaurav Rateria with Morgan Stanley.
Gaurav Rateria: Congrats on solid execution. I have a couple of questions. Firstly, we just wanted to get a little perspective on what you think about the horizontal platforms entering into the travel vertical? We always thought it's more like a vertical business. Horizontals have not been able to do anything globally. Is there any threat from horizontals trying to scale up this part of the business? Or how to think about that?
Deep Kalra: Yes. Gaurav, it's a good question. And this is not a new occurrence. We have seen horizontals trying to get into travel in the past as well. And that we have also, at some point of time, powered some of the horizontals doing this. I think it's an obvious thing for a horizontal to want to get into more and more categories. Sometimes the growth in the same categories doesn't always keep pace with how fast you'd like to grow, and therefore, you have the customers, you'd like to sell them other things. I think where it has worked is unidimensional or 2-dimensional products, which is largely around ticketing. So horizontals have been successful in selling rail tickets definitely where I think largely there is not even such a price issue because there's only one supplier. There is effectively the only variable in the mind really is, is the availability or not. And so therefore, rail tickets have moved quite well, particularly, if discounts are offered, et cetera on platforms. In addition to that, I think bus ticketing has seen some support, but less than rail. And if we come to air tickets, then it's even less. It's a 2-dimensional product. It's really around price and timing. But still, I think people then have issues and concerns when you're buying something travel. What we have found through our research consistently is that the concerns are very different. So firstly, when people are on a horizontal buying, let's say, something they need, whether it's groceries or something semi-durable, et cetera, they're not in the same frame of mind as travel. So when you're in travel, it's a different frame of mind. When you're looking for travel, you want to go to an expert. And then when people start thinking about possibilities of changes, possibilities of cancelation, specifically during such kinds of high flux, then they definitely want to work with specialists we have seen. And therefore, if we go to even more evolved products. So let's say, international air tickets, they have not succeeded at all on horizontal platforms, generally speaking. And finally, if we talk about hotels and accommodations, again, we have found that they haven't moved actually the needle when it comes to horizontal platform. It's really the realm of travel-focused, travel-dedicated players. So I'm not saying that there will not be any impact. Definitely, I think on the ticketing side of the business, we can expect to see that. There is going to be another mouth of the tunnel, someone who's getting into this today like Flipkart, who's bought Cleartrip, is definitely going to invest in this line. But are we overly worried or concerned? No, because we've seen this play out in the past, not just in India and even overseas, it hasn't really worked out as you get into the higher value-added travel services.
Gaurav Rateria : Great. Secondly, a question for Rajesh. Any color on the market share in the domestic air side and how it has changed during the course of the pandemic, any color on that?
Rajesh Magow: Yes, sure, Gaurav. Like we mentioned that we've been actually gaining incrementally. I think we had announced last quarter, same year, our share was about 27-odd percent and in this reported quarter, we'll be over 29% or so.
Gaurav Rateria : Got it. And last question for Mohit. When we look at the customer inducement costs, is it fair to say, at this point in time, the large part of the cost will be to drive repeat behavior and very limited part will be to acquire new customers versus, let's say, a year back, when a large part of the cost was to acquire new customer versus to drive repeat behavior? Just trying to distinguish between the -- sort of the customer inducement cost, breaking it up into the acquisition of new users versus repeat behavior.
Mohit Kabra : Yes, sure. No, Gaurav, [indiscernible] the focus has been on driving repeat from the existing customer base, the 51 million customer base I've just talked about, driving repeats to them. And therefore, clearly, a large part of it is directed towards that rather than kind of new customer attrition through the year.
Operator: [Operator Instructions] I'm showing no other questions in the queue. I'd like to turn the call back to management for any closing remarks.
Jonathan Huang: Thank you, Catherine. Thank you to our listeners today. I hope you all stay safe and healthy, and we look forward to speaking to all of you soon. You may now disconnect.
Mohit Kabra: Thank you, everyone.
Deep Kalra : Thank you.
Rajesh Magow : Thanks, everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.